Unidentified Company Representative: Good afternoon ladies and gentlemen and welcome to the Jubilee Metals Group PLC Full Year Results Investor Presentation. Throughout this recorded presentation investors will be in listen-only mode. Questions are encouraged and could be submitted at any time via the Q&A tab that just situates on the right hand corner of your screen. Please just simply type in your questions and press send. The company may not be in a position to answer every question received during the meeting itself; however, the company will review all of the questions submitted today and publish responses where it is appropriate to do so. Before we begin, I would like to submit the following poll and if you could give that your kind attention, I'm sure the company would be most grateful. And now I'd like to hand you over to CEO, Leon Coetzer. Good afternoon sir.
Leon Coetzer: Good afternoon and welcome everybody. Thank you for taking the time to dial in and listen to Jubilee as we go through the past 12 months results, I suppose more excitingly and importantly where is Jubilee headed. And without further ado, I will start the presentation and let's go through the slides. I will touch on our numbers and give some more clarity and insight as we now focus on the next growth phase for our company. I think maybe just as a start, if we take a step back and just again look at what did Jubilee set out to achieve when we said to the world our aspirations of establishing the company as an entity that is recognizable in the industry for its expertise and its delivery of results in focusing on the extraction of value from mine and industry waste has been created over many, many years. We started life back in 2017 with our first operation when we finally, after outbidding a number of companies was awarded a contract from Mitsubishi and we established our first operating waste processing facility in South Africa, focusing on the extraction of value out of the waste created by predominantly chrome mining industry. We did that by extracting chrome and then what remains in the waste, which is the Platinum Group Metals, it's just a collective name that looks at platinum, palladiums, rhodiums and rutheniums and extract that within our facility in South Africa. To do that successfully and to build our brand, we set out on a target to restate what is achievable in the efficiency and the extractability of chrome out of reef, because the more efficient we could extract that chrome, the more valuable the remaining PGMs could become. And that really set our strategy into motion, where we look at extracting a primary metal like chrome in this particular reef, well above the efficiencies that the industry grew accustomed to, which allowed us to then look at the valuable extraction of those Platinum Group Metals and that led to many innovations in the chrome industry.
Ferrochrome: And we took that hard decision at the end of 2019 and the beginning of 2020 to rebuild our facility, to expand as an African platinum operations, to enable us to serve a variety of clients, to diversify our feed materials, to migrate from waste, to be able to compliment both waste and what we call perceived waste, that is mined material that customers felt were too low grade to be economical, to be extracted viably with the metals. And we took that decision to grow our platinum footprint in South Africa by more than 45% and double our chrome operations. And that speaks to what we set ourselves as a target for the past 12 months in South Africa, to double our chrome production rates, because the more chrome processing capacity we have, the more feed we make for our Platinum Group Metal processing facility, and we sit on that task over the past 12 months while ensuring that we maintain our operations to be able to continue producing within a facility that's being expanded and changed to lay a foundation for Jubilee in South Africa, to establish a company of size and magnitude with a great future. That was the target in South Africa, but it didn't end there. At the same time as we told our investors, we entered Zambia to diversify earnings, to grow our earnings pool from just chrome and platinum group metals into coppers and cobalt. The fundamentals of copper speaks for itself with massive supply chain shortages, yet a world hungry for copper to drive its growth. And that took us to Zambia in end of 2019 where we acquired an old dilapidated refinery, set a target to repurpose that refinery, recapitalize it while building a new greenfields copper concentrator to process the perceived waste, to produce a copper concentrate that we could refine to metal, to implement the first fully dedicated waste to metal copper facility in Zambia. For many companies much larger than us, that would be a very bold, bold program to undertake. But we did it because we have the inner skill and we had the track record that we knew we could achieve the simultaneous expansion of both South Africa and Zambia during this past 12 months and that speaks to the results that we've delivered. It speaks to a massively dedicated team to achieve this during a period when the world was faced with COVID, when supply chains were wrecked, yet the team was able to deliver in budget and on time both projects. And if ever that speaks what we call a Jubilee way that speaks to what the team could deliver. If I go into the next slide, the key example this is trying to show is if you just compare on the left, the two wheels, the bottom wheel shows how our revenue was broken up in 2021 financial period. The top wheel demonstrates two things; the diversification of our revenue as copper just starts to pick up in this past 12 months as we now lead in to the large new integrated facilities we've launched in Zambia, that grey bar showing the copper revenue percentage contribution to the group. But importantly the light blue side shows you the significant increase that the chrome revenue brings to the company and that speaks to the expansion that we drove in South Africa. To be able to achieve this expansion, we had to first expand our chrome operations to facilitate the expansion of our PGM processing facilities, and that's why the chrome revenue starts reflecting already in the past 12 months financial numbers and set to increase significantly within the current financial period. It is yet to follow, which is not yet reflected on this is the next exciting part for Jubilee. As much as chrome becomes a byproduct of our Platinum Group Metals refining process, so too in our copper we have cobalt coming in as our byproduct of our copper operations. Yet another diversification, yet another enabler in Zambia and a very successful strategy to be able to drive a byproduct to drive not only revenue and earnings growth but also to drive down the cost from every ton of copper we make. Reflecting on the numbers itself, I group them into three key number sets because it speaks to what we set out to achieve, the KPIs we drove into our group over the past 12 months to reflect why we did what we set out to do. On the left, it gives you an indication of group revenue, group revenue being driven by the expansion in our chrome operations in South Africa. And again to stress, the chrome operations is the primary facilitator to our Platinum Group Metals growth as we extract the chrome from the materials and what remains is where we recover the Platinum Group Metals from. That graph clearly showing as revenues keep stepping up dramatically and it is before the impact of copper, and it's before the impact of our expanded Platinum Group Metals facility. On the right, the top graph showing you the tangible, not the intangible, but the tangible net asset value per share, to indicate the value in the investment we are making into establishing a foundation in this company to set us up for future growth as we start contributing in the actual tangible asset value in the portfolio of this group. And that's before the next layer of expansion coming through in Zambia. Of course, the bottom graph shows the impact on EBITDA as we pulled back our PGM operations, ran it at a very small component of its capacity, while we are building in that facility, expanding in that facility the operations adding whole new front sections to be able, to enable us to process this wide variety of feed materials. No other PGM facility like this exists in the world that we have built. If we reflect on some of the detailed numbers that's out there, not many surprises linking into our earlier operational update. As we've shown today in our announcement, we've also launched our integrated reporting. A very natural outcome of what Jubilee does is its impact on our environment, impact on our communities, where we take unsightly historical wastes within communities often and we start extracting and reprocessing that material and extracting value and depositing that waste onto new modernized, isolated facilities. Jubilee is well respected and you can Google the interview done by the Minister of Zambia and South when he visited our facilities. We are leading the way in how do you integrate communities into operations? How do you truly ensure that your operations are sustainable? And how do you truly ensure that all stakeholders feel the change you bring in, into your environment? Interesting numbers, Jubilee in 2015 when we set out to implement the strategy, we were 14 employees. Today we're more than 700 as we set to grow yet again in the further expansion in Zambia. Delving deeper into our numbers, a few things stand out that I wish to point out. If you look at the things that we have to be in control of as a management group, our unit costs in a time when inflationary pressures are everywhere, everybody feels it, no matter which part of the world you live in. Our unit costs to the bottom half of that table indicates how we actively in our strategy drive down our unit costs and we do that in two ways; one is expanding, the other is efficiencies. As we ensure that our chrome extraction rate is above the industry's norm and with every ton of chrome we can extract before we recover our PGMs, our contribution of chrome grows greater, which subsidizes the recovery of our PGMs. It's the exact strategy that we are driving in Zambia where our cobalt not only subsidizes our copper production, but adds to the earnings of our copper cathode in Zambia. Yes, if you look at our unit revenue, it's stepped down sharply as the value of the PGM ounce, that's the platinum, palladium, rhodium, ruthenium package dropped significantly during this 12 months period. But if you look at the drop in our production rate because of our expansion program, together with a drop of revenue per ounce and you look at our earnings that we've achieved, it shows how we have buffered to a large extent that drop by the increase of efficiencies and the expansion we've seen in our chrome operations, and now this period that we are currently in, our PGM expansion that comes through on the back of the completion of our PGM plant at the end of March this year. If we delve into some KPIs we drive in our group, capital spend stands out. It's a responsible spend to ensure we lay our foundation for future growth. We cannot just live in the moment. We have to invest into the growth we've set ourselves out to be. We've taken a leading role in the processing of wastes from the mining industry and we need to ensure that we capture a significant part of that opportunity for our investors and that drives our investment and our focus currently and over the next two to three years. You'll see our capital spend stepping up sharply as we completed the expansion in South Africa and we completed the implementation of a brand new copper concentrator, recapitalized and refurbished platinum, sorry copper refinery and integrated that processes. It shows our revenue stepping up in the group as our chrome expansion starts to show its impact on the group revenue and it shows our tangible net asset value per share increasing as the sheer ownership of plant and equipment grows within the Jubilee portfolio. Some key numbers that have impacted during this period, we've settled all that. We've taken out, we've unleveraged our balance sheet and we did that for a very clear specific reason, because everything we've done in Zambian copper is purely a demonstration. As significant as it might be, it's as pure demonstration to the industry and to Zambia of what is to come as we now step from the southern refining copper into the northern refining copper, where we look to expand on a multiple of size compared to what we've done in the south. And how do we fund that? We had to ensure that our balance sheet is unleveraged, debt free, that we can use this growth intangible net asset value to fund into a northern expansion. And as we said in that slogan, what we've built over this past 12 months, what the foundation we've laid, we have primed ourselves for growth. We have set assets in motion. We have implemented operational footprints, inviable operational footprints both in Zambia and in South Africa to now leverage off and drive our next growth profile for our group. In South Africa, we've spoken about this before just to capture it on the left, that's a picture of our facility in South Africa, we now sit as a company with the capacity to produce 1.2 million tons of chrome concentrate per annum. Just keep in mind we have not a single mine in our portfolio that makes Jubilee one of the biggest chrome producers in the world. All of that is done to get to that remaining Platinum Group Metals waste, where we now sit within our own capacity portfolio, the capacity to produce 44,000 ounces of PGMs per annum. Enormous increase, but more than that is the diversity it brings us, the ability for us to process a wide range of materials and wastes in South Africa, opening up our client base in South Africa. The demand for our capacity is shown by the fact that even though we've expanded, we already over subscribed for that capacity. And all of that is before we even expand into the second PGM and chrome comp or area within South Africa. All of what we've constructed is only in one of the PGM and chrome areas in South Africa. In Zambia, very proud that for a company like us within the challenges that the world faced over the past 12 and 18 months, we broke ground to commence the construction of our copper concentrate in June, 2021. 10 months later, we commenced the commissioning of that facility. That facility alone, depending on grade, that's why the range is there, is targeted to produce up to 800 tons of copper per month for our Sable Refinery to turn it into copper cathode, a huge step up from our current or previous 12 months copper production rates. Again, an investment that brings together the ability to process a variety of feeds, make concentrates and take it all the way to final A grade copper cathode metal, a unique ability that we've built in Zambia that we can now utilize for this periods growth in revenue and earnings. But what we've got in Zambia sounds impressive. We've got 300 million tons of waste that we've secured. We've got a copper concentrator and the refinery, but it's simply a demonstration as I said earlier. If you look at the sheer quantity of waste that's being created in Zambia or historically created in Zambia continues to grow. There's more than 1.9 billion tons, not million, billion tons of this waste. So as much as 300 million tons sound big, it's still small compared to the sheer size of the opportunity, and that's what the South and the implementation of the South has now allowed us to pursue more aggressively. We've proven to ourselves, the industry and Zambia it can be done. And that allows us now to more aggressively pursue to take a bigger slice of this opportunity in Zambia. It's an opportunity both for Zambia administration and industry recognizes that if implemented under a formal process with a formal partner with the, that's demonstrated its ability to deliver such projects. It is a whole industry that can be created around this waste. It's why we say we have set ourselves a target to double our capacity or not our capacity, but our resources in Zambia. We have set ourselves a target to go from 300 million to 600 million tons of material already on surface, already mined in Zambia to secure that magnitude of resource so that we are able to dramatically expand our potential for copper production in the North. On the back of such a resource we don't have to limit the refining capacity we pursue to replicate the south in the northern side of Zambia. But with such a resource under our wing if successful, we can scale up to a significant copper producer, 40,000 tons alone in the North per annum as a significant producer from waste alone. And that is before we bring in the cobalt side. How do we do that? If you look at how we did the South, we both decommissioned defunct refinery, recapitalized, repurposed it within 18 months to bring it up into operation. That's how we did the South and we plan to do the same in the north, to pursue the acquisition and partnering to gain access and control of existing refining footprints, to repurpose them and bring them into operation. It is capital efficient. It's time efficient and it allows us to implement the projects even though there might be a large capital number once completed, it allows us to bring the project on stream as early part, early in the project to produce intermediate products to create revenue and earnings as we complete the project exactly as we've done in the South. We are in advanced discussions to complete the strategy and I look forward to updating our investors as we implement and drive this through in Zambia, as we are committed to take hold of a large part of this opportunity. We've educated Zambia and the copper industry on. To get there you can't do, you can't replicate what most companies do. There are two types of waste in the world and I always say this, there's the one type of waste that's created by inefficiency where the right process has been implemented, but there might be a margin for improvement on that process and that creates waste. So if you are only going to replicate the main process at smaller scale on the waste, all you're going to recover is potentially that inefficiency. However, what Jubilee does is we look at what metals and value is rejected by the process that's been implemented. And therefore if we implement a bespoke solution targeting specifically what's been rejected by those main processes, we can recover both the inefficiency and the minerals that were always lost because of the type of process that's been implemented. To do that, you need a development arm in your company that is driven by excellence and is respected by the industry. And if you just look over the past six years, the breakthroughs Jubilee has brought into industry, disruptive breakthroughs into the industry, we're in the chrome industry, we've taken recoveries and efficiencies of chrome to a new level. We've demonstrated how you can commercially at scale of recover chrome that was always regarded as unrecoverable. Today we make that into our product and we sell that product. Our PGM process where you had a plant for every type of reef, we have one plant, one facility to process these varieties.
sulphide: At the same time, we are about to shake up the copper industry as we launch what we call a leach project. Your biggest cost to recover copper oxide is the cost of acid. And therefore, if we can rapidly leach our copper in acid, dramatically reduce the amount of acid we require, we can unlock so much more potential within copper and the waste making what we call perceived waste highly viable in the industry and that drives how Jubilee implements its projects. The Jubilee team, we speak often of them and maybe loosely, we have an exceptional team. We have a team of individuals that is respected internationally who drives the hunger for improvement, who do not accept norms. We challenge norms. We drive our efficiencies higher because that is how we turn perceived waste into value. Educating the industry, that was regarded as valueless today is highly valuable. Thank you for listening to that presentation. I see a number of questions have popped up and I'm going to scroll through them and group them, because there are certain themes coming out. And please if I miss your question, feel free to resubmit it, but I certainly will take the time reconsider and make sure that we get as many as possible.
sulphide: At the same time, we are about to shake up the copper industry as we launch what we call a leach project. Your biggest cost to recover copper oxide is the cost of acid. And therefore, if we can rapidly leach our copper in acid, dramatically reduce the amount of acid we require, we can unlock so much more potential within copper and the waste making what we call perceived waste highly viable in the industry and that drives how Jubilee implements its projects. The Jubilee team, we speak often of them and maybe loosely, we have an exceptional team. We have a team of individuals that is respected internationally who drives the hunger for improvement, who do not accept norms. We challenge norms. We drive our efficiencies higher because that is how we turn perceived waste into value. Educating the industry, that was regarded as valueless today is highly valuable. Thank you for listening to that presentation. I see a number of questions have popped up and I'm going to scroll through them and group them, because there are certain themes coming out. And please if I miss your question, feel free to resubmit it, but I certainly will take the time reconsider and make sure that we get as many as possible.
sulphide: At the same time, we are about to shake up the copper industry as we launch what we call a leach project. Your biggest cost to recover copper oxide is the cost of acid. And therefore, if we can rapidly leach our copper in acid, dramatically reduce the amount of acid we require, we can unlock so much more potential within copper and the waste making what we call perceived waste highly viable in the industry and that drives how Jubilee implements its projects. The Jubilee team, we speak often of them and maybe loosely, we have an exceptional team. We have a team of individuals that is respected internationally who drives the hunger for improvement, who do not accept norms. We challenge norms. We drive our efficiencies higher because that is how we turn perceived waste into value. Educating the industry, that was regarded as valueless today is highly valuable. Thank you for listening to that presentation. I see a number of questions have popped up and I'm going to scroll through them and group them, because there are certain themes coming out. And please if I miss your question, feel free to resubmit it, but I certainly will take the time reconsider and make sure that we get as many as possible.
Unidentified Company Representative: Leon, thank you very much indeed for that and for your presentation this afternoon. Ladies and gentlemen, please do continue to submit your questions just by using the Q&A tab that's situated on the top right hand corner of your screen. But just while Leon takes a few moments to review those questions that were submitted already, I would like to remind you that a recording of this presentation, along with a copy of the slides and the published Q&A can be accessed via your investor dashboard. Leon, we did obviously receive a number of pre-submitted questions ahead of today's event, as well as, as you can see in the Q&A tab itself, a number of questions that have come through during your presentation as well. So firstly, thank you to everyone on the call for taking the time to submit their questions. Leon, if I could just hand back to you to address those questions where it's appropriate to do so and then I'll pick up from you at the end. Thank you.
Leon Coetzer: Excellent, absolutely. I'm going to start, thank you for that. I'm going to start the questions just first before we go into some of the higher level questions, just to go into, delve into some of the detailed questions that have come up. There is a theme around energy and it's a concern that the whole world is sharing and a question around, especially specifically in Zambia because we highlighted that in our report, our challenges with energy and water in certain of the areas in Zambia, but also in South Africa at the moment. And the questions range between the impact of power and power cost on our copper viability. And secondly, whether we have, are confident we can overcome the power and water challenges that we faced in Zambia. And let's start with Zambia first. In Zambia, quite correct, we have faced challenges on more in fact water than on power. On the power side, we've migrated from having our power supply agreements with local municipalities and we've migrated because of our scale onto a National Supply Agreement. That's elevated us on a new area, and therefore we don't suffer the power outages in Zambia. The second intervention on water supply and the lack of water supply, which is a critical carrier medium for your material through your plant, due to infrastructure challenges being faced is what Jubilee has finally secured the right to implement its own infrastructure for the water supply to our facility. So we decouple our reliance on that infrastructure and that infrastructure has been completed. The acquisition and design has been done. The installation of the infrastructure, what happened during December of this year, so that we finally decouple that reliance. It's a lesson we've learned and certainly will pursue that approach on our further projects in Zambia In South Africa, two areas. Most of our facilities are also on a National Power Supply Agreement and therefore are better buffered against the current power outages that are happening. Some of our chrome operations are not on the national and are on local, they would suffer the most. And yes, to put in perspective, one of our chrome facilities lost 12 operating days in one month alone because of power outages. As of the middle of next month, our backup power system that we have implemented, decouples us from the reliance of national power in the event of it going down and that interventions have also been implemented in South Africa. Cost of power, of course, it's impact no matter how small, but it's an impact. We are, for us as a company, if you look at the cost breakdown to make either an ounce of PGMs or a ton of copper cathode, we are the contribution of power to the overall operating cost is smaller and typical, because we don't have a mining component, nor do we have a smelting or furnace component in our company. And that allows us that, our power consumption to produce an ounce or to produce a ton of copper is less, far less than the norm within the industry.
$: Yet again, it's why there's the driver of efficiency, driver of size, and the driver of extracting byproducts out of our copper to make it even cheaper. Current copper prices, running at roughly about $7,300 to $7,500 a ton of copper cathode, it remains a healthy margin. But we certainly look forward to the supply crunch of copper having the true impact on the copper price. People are projecting for the end of this year and beginning of next year to start reflect in the copper price. The questions around environment, there's a number of questions around the environment. We operate, as you can imagine, in areas that are either highly polluted from past mining activities or are continuously polluting from current mining activities. Our exposure to those liabilities are very limited because we come in as a company who commences activities that reduces the footprint of the waste, because we extract value. And secondly, as part of a commitment we've stated as Jubilee not because of what we have to do. We strive to zero-effluent policy in all of our projects. If you look at our entrance into carbon [ph] in 2018 and beginning 2019, the first capital we spent was to limit and stop the environmental pollution caused by that historical tailing span. To stop that in its tracks before we commenced with capital expenditure in the refinery, but we don't carry the exposure on those facilities. If we then step up to the high level questions, we asked in a group into our asset portfolio between South Africa, Zambia, what's next? Do we diversify into other metals or do we diversify into other jurisdictions? And the simple answer right now is that, our eye and our focus is very much fixed on capturing and expanding the copper opportunity in Zambia. In-country knowledge going to new jurisdictions, it takes time to ensure that you are educated in your jurisdiction to understand how the country enforces its rules, how capital flows work, and how you can build your teams around the Jubilee brand in these jurisdictions. So our main focus for now is undoubtedly expanding into the north and becoming a significant copper producer and cobalt producer in the north. With that said, we'll always keep an eye open for opportunities globally. We've always stated that the natural next evolution of our group from being a PGM and chrome company to a significant chrome and PGM company to becoming a copper and then a significant copper and Cobalt company. And natural next evolution is to do what we do for the large multinational mining entities, which is with a wide variety of assets on their balance sheet, liabilities of wastes with Jubilee having the skill to turn those liabilities into an asset portfolio. It's a natural evolution for Jubilee to aspire to as a next growth point. If you look at this at, at which metals we would then pursue, we look at two things. One is of course our inner skill, which is the extraction of base metals and precious metals, but equally the fundamentals of metals. And at the moment the fundamentals of copper and cobalt, PGMs and chrome is so significant that it would take a significant push to diversify into another metal group. The obvious metal groups that we look at is zinc and vanadium. We sit with a zinc and vanadium portfolio in Zambia and we have assisted zinc and vanadium companies in reviewing their current portfolios. So it's a natural potential for Jubilee to look at the implementation of its own zinc and vanadium portfolio that we already hold in Zambia as a diversification from what we hold and if, and many of you might recall that we in fact had prioritized zinc above copper four years ago, three years ago. But due to the sheer magnitude of the copper opportunity in Zambia, it overtook zinc in Zambia. There are a number of questions then if we look at the financial side of the company. One is dividends. I can't wait for the day that I inform shareholders that we are declaring dividends. I don't think we're far away, but at the moment our capitalization program that we are pursuing and the growth it is delivering or will be delivering for our shareholders, we are of the view that investing our earnings and our cash into our growth, into our copper strategy serves our shareholders better to create that growth in the near-term. But I certainly look forward to the day the debt capitalization program comes to a completion to allow us to look at dividends going forward. We don't foresee another large capital wave coming to the company at the moment post the northern expansion that we now pursue in Zambia. There's a very specific question I've picked up, which is an interesting question that I thought I'll just address as well, and that was around the rights that Jubilee hold within Zambia. People asked about EPL, people might recall when we entered Zambia we acquired the rights to assets held by EPL. There are questions around why aren't they reflected in Jubilee Metals Group. If you were to look at those rights, most of these mineral rights are public. You can go into these systems in Zambia and South Africa and you can look at which rights are held by which company. The reason why it's still held in EPL is because Jubilee holds the rights to all shares of EPL and therefore there's no need to transfer it out of EPL into Jubilee. Equally Jubilee's portfolios in Africa and Zambia our contractual strategy has always been to hold the economic rights to material and in certain cases hold the direct ownership of certain material. But in many cases, we own the economic rights to the resource and the sole rights to process those materials. And our JV partners, which are minority partners, will hold the original right with which we operate and process. Then the questions that next group of questions are around the north. I mean it's exciting stuff that we are pursuing in the north, the northern refinery, what we are chasing to achieve in the northern refinery. And that's in Zambia where we look to dramatically expand our copper and cobalt footprint. As we said, we are looking and targeting for two implementations. One is to acquire a decommissioned refinery and refurbish it and implement it as a waste processing refinery to make both cobalt and copper. The second is to partner with the existing owner of the refinery to repurpose a decommissioned section of their refinery into a copper dedicated refinery, so that combined these two footprints can be at scale, on the back and if we are successful to double up our resources in the north, we are able to scale up north as we said, 40,000 tons is achievable in the north on the back of such a scale of resources. There's questions about the -- is a specific date when we'll be able to secure it? No, I can't give you a specific date in the current negotiations that we are in, but we certainly are optimistic that we'll conclude these transactions soon. And when we say soon, we've set our own aspirational targets for within the next quarter to conclude those transactions or secure those footprints to allow us to start accelerating the implementation of the north on the back of what we've demonstrated in the south. The next group of questions just going through them as they come through is around cobalt, cobalt recoveries, cobalt production, and accurately asked by a particular shareholder. The cobalt refining process is more complex than copper and therefore the questions are around how confident are we that we are able to produce cobalt? How able are we, how confident are we that we are able to deliver cobalt into the market? Our answer is we're very confident. We've demonstrated both at lab scale, pilot scale, we've constructed it now at Sable. Sable is gone into its cobalt operation, as we said, told the market we do that on the back of Roan concentrators stepping up and reaching stability to allow refinery to run more stable for the refinement of cobalt. To deliver a cobalt product, quality is everything. You cannot deliver a cobalt product above that contains certain impurities and extracting and recovering cobalt out of those impurities is key and we are very confident that we are able to do that and achieve that. And we certainly will be posting some photos for our shareholders on our websites to start seeing the cobalt being produced at Sable as we speak. The exact financial numbers around Cobalt we will bring out once we are able to identify the exact quality we are making and therefore the revenue that that cobalt attracts from that specification, and that's very soon. As we told the market, we'll start modest on our cobalt as we ramp up into 1,200 tons of cobalt per annum at our facility. The north of course, is a multiple of that size coming through. Cobalt trades at nearly eight times the value of copper, and therefore it's a very valuable byproduct to extract out of your metals. There's a number of questions again around renewable powers, solar power, et cetera in South Africa and in Zambia. We in a very sunny country in South Africa and in Zambia. We are looking at those solutions. We are looking at those solutions in partnership with both the national supply and other mining companies to look at how do we make ourselves less reliant on the fossil fuel power generations in South Africa and in Zambia. In Zambia, the majority of power is hydro power, in Zambia. It's in South Africa where it's mostly coal-fired power stations. It's something that the industry is looking at as a solution as lessons to see how do we do that where we have a constant power draw, we don't have high power draws, whether it's sunny and low power draws in the evening. Our plants run 24 hours, seven days a week as an operation. Just looking at the next group of questions, looking at the financial numbers, there's a group of questions around the earnings of EBITDA number that's pulled back over the past 12 months. And again, yes, it was fully expected that the EBITDA number would pull back as the PGM implementation of that expansion really only completed in March and therefore ramped up during April and you've got two months of an expanded facility running at its capacities for the previous financial period and you've got 12 months in the current financial period of this new facility coming through. There's an interesting question from three shareholders around whether we'll become a subsidiary of a large mining company. It will cost them a lot if that is what they wish to secure for themselves. But I do not see ourselves being a subsidiary of a large mining company. We might be a partner of a large mining company, and in fact we might be a partner of several large mining companies. There's a question around payables that the, in our financial numbers, the payable section people people owing us money is growing. And just to explain why that would be, if you look at the growth in our chrome operations where we've grown by 90% doubling up our chrome operations. Our contracting style with most of our chrome clients, as we said before, chrome is a byproduct. We run at a fixed margin. We offer the most of our efficiency achievements back to our clients. We therefore run our chrome as a totaling [ph] operation. And in certain of our clients, we are acquiring their material and they buy the final product. And that pipeline is the payables that you'll see. And as we expand on the one side, the payables will increase as the amount of concentrate they're buying back from us is increasing dramatically as we expand our operations in South Africa. We choose our clients very carefully and we have no defaulters in the operation. Interesting question around PGMs, just again to explain, and I think that sort of the last, if I look at the last grouping, that group is quite nicely in the questions around PGMs and costs. You would note that in copper we go all the way to metal. We make copper cathode metal. In PGMs we sell a concentrate. We don't make pure platinum or palladium. The question is asked, is there value in going further down the value chain, and in fact not making a concentrate, but smelting that material to make a mat, which is then sold. Within the PGM value chain, the financial value chain, there's no significant value enhancement in going from a PGM concentrate into post smelting. To get that value release, you have to go into refining and that capital investment simply doesn't justify the margin that you chase within your PGM growth. In copper, it's a very different story. The margin you chase for making copper cathode absolutely motivates the capital required to build your capital, to build your copper refinery, to go to pure refinery and making pure metal rather than making a copper concentrate that you sold into the markets, different dynamics between the two industries that we are in. Well question, well spotted. A question around technical, my own comfort zone. If we are successful in our rapid leach copper process which we see as our next big breakthrough in the copper, what does it really mean? It means that we have the potential to reduce the acid consumption by nearly 30% to make a ton of copper, acid being nearly 45% of your operating cost, you can see the impact that will have on your operating cost to make a ton of copper. Excellent, next grouping of questions, it's around people, people management and teams. To expand at the rapid rate that we are expanding your risk is do you have the team? Is your team still behind you? And is the team able to handle with this dramatically expanding company? If you look at Jubilee over the past five years, we've never stopped building something. We've never stopped expanding. We have grown rapidly in not only in company size, people size, asset size, complexity in the group. It's why we as a team have, and if you look at our extra composition key leaders per area, we've broken Zambia and South Africa into two standalone businesses. The only commonality between the businesses is our directors and our strategic financial and technical teams. The rest they run as independent businesses to ensure that they drive their own KPIs; they drive and take ownership of their efficiency targets and their business targets. And yes, it's complex to grow. It just needs active and constant management. And the most difficult growth is when you grow into new metals and new regions. And I think Jubilee has done both successfully and overcome those challenges in a time in the world at to overcome numerous other challenges as well. The questions asked is since we're moving in into Zambia in the north, one is around timelines in the north, the other one is around if you are in Zambia in the north, the DRC is on your border, the Democratic Republic of Congo which of course is placed with enormous and valuable reefs in the area. On timelines of the north are key timelines we drive in is the acquisition and securing our refining footprint. It's the anchor you need from where you build your concentrating facilities, because it dictates the size that you are chasing to fill in your refinery, and that is the key target we chose, is to conclude that acquisition and that access to the joint venture copper concentrate, copper refinery and the straight acquired copper refinery and Cobalt refinery footprint in Zambia. And yes, it does open up to the opportunity, to offer that capacity or seek to secure trans-border material into those facilities, but it's not the fundamental driver of why you would secure or operate also capitalize those facilities. Looking at the questions I think we've addressed most all of the themes. I'm really hoping that we've answered your questions. I'm hoping that if nothing else, through what you've seen in the presentation, you've seen our results, you've seen in what we've implemented that the growth that lies ahead for Jubilee is clear and very visible.
Unidentified Company Representative: Leon, thank you very much indeed for addressing all of those questions that came in from investors this afternoon. And of course we will give you back all of the questions that were submitted today for your review to add any additional responses where it's appropriate to do so and of course we'll publish those back out to everyone on the call. Leon, perhaps before redirecting those on the call to provide you with their feedback, which I know is particularly important to yourself and the company, if I could please just ask you for a few closing comments to wrap up with that would be great.
Leon Coetzer: Oh, thank you. And yes, maybe there's one group of questions I did miss and it's a question around our share price performance. And some of it of course is extremely disappointing, but some of it is also to a certain point understandable because what we've done is our worst enemy as Jubilee. During this construction phase we've gone through, we had to close the hatches, focus on the board, focus on the delivery of our two very complex projects that we've implemented, where companies much larger than us would probably not undertake such projects simultaneously. Now that we've delivered it, it enables us to inform the market, to educate the market on what we've delivered, to show the expansion what this capital is unlocking for Jubilee and its shareholders. On closing words, our key deliverables at Jubilee is to set a foundation both in South Africa and Zambia from which we can grow in a sustainable and a responsible manner, building a company that is significant in size in the industry that it operates with a reputation that's envious to others on how we implement these projects. And that is what now sets as our next deliverable for the current financial period, is to leverage of this foundation we've created, to create the value from this investment over the coming period. Thank you.
Unidentified Company Representative: Leon, that's great, and thank you very much indeed for updating investors today. Could I please ask investors not to close this session as you'll now be automatically redirected for the opportunity to provide your feedback in order that the management team can better understand your views and expectations? This is going to take a few moments to complete, but I'm sure it will be greatly valued by the company. On behalf of the management team of Jubilee Metals Group PLC, we would like to thank you for attending today.
 :
 :